Unidentified Company Representative: Good afternoon, everyone. I’m [indiscernible], Investor Relations officer of Cresud. And I welcome you to the Third Quarter 2020 Results Conference Call. As you know, today’s live webcast will be held in a new format through Zoom. Nevertheless, both audio and a slideshow may be accessed through companies Investor Relations website at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release issued yesterday are also available for download on the company website. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include Forward-Looking Statements regarding the company’s financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company’s earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Good afternoon, everybody. Welcome to the third quarter 2020 results. This is a special conference calls, you know the different difficult times that we are spending and I hope that everyone is well and safe. As you know, Cresud as a business is operating relatively normally, being an active that is essential in Argentina and all over the world. Not the same in other segments. We can see that in the European segments we had suffered in lockdown since March 20 in the case of Argentina, so the shopping center where closed and hotels were closed. We are going to see that the main results of this lockdown is going to affect the fourth quarter. And because it is only 10 days of the third quarter. In Israel, the lockdown and the quarantine made a different situations. Some companies like the supermarkets like Shufersal and Mehadrin were in essential activities. So working or better than especially sometimes surpassing the results of the past. Some of the others were affected but much lower because of short-term of quarantine of Israel. Later we are going to see the result in details, but we are going to explain our loss of ARS7.4 billion for the nine-months compared to 14.5 of last year numbers. The adjusted EBITDA reached ARS26.6 billion comparing a 41% increase to last year numbers. The EBITDA from agribusiness increased almost 45%. And this is mainly due to higher productivity in the operation of agriculture, rice in sugar cane mainly and in the urban segments there was a small decrease was 2.7% compared to last year numbers, and the main decrease coming from shopping centers and hotels. In the case of Israel, there was an increase on the EBITDA, we are going to see later. So, let’s move to next page. Page 2. And here, we can begin speaking about the main effect that we had in Brasilagro through a real estate acquisition that we did through shares. We were lucky to begin to do this mechanism, first time of our history. And we began to buy assets through the shares - sorry this is the first time that we do an acquisition through issuing shares. There was a company that failed in the past, it was a big company that was trying to copy the model of Brasilagro. But after many failures, they sold majority of the remaining, they gave us and we issued shares to pay them. This is a package of 29,000 acres of total surface for making mainly grains and cattle. That will be a dilution of cost G&A on the operation. Because we can see on the picture, they are neighbors of our existing Chaparral and Jatobá farms. So with this and using fair value, so we calculate the net asset value of 31 of the share of Brasilagro to make the merge. We made a dilution that represent eight and some percent of the shares. So we that dilution, now we have more shares of Brasilagro grew in size now is a company of a portfolio of 214,000 acres.  And so, there was an increase of this number of shares that you can see here on the graph on the table. And so, from one side, we had this dilution of this 8.5% almost that of a - percentage of dilution, because of the emission for making the merge. And from other side, we recently sold 6% in a vertical market. So Cresud after these two events went from the 43 to the 33.6. On that sale, we raised almost $16 million that we have on the pockets of Cresud today. So this is a new vehicle through shares and I’m very happy about. I think this is the first of many of - because this is giving liquidity to people that wants to leave their business, that wants to remain and a much more active vehicle like Brasilagro is. If we move to the next page, we can see one purchase that we did recently, we did a normal acquisition, this is a 4,500 acres we did in Brazil, 2.9 to be develop and this is for grain and this is a BRL25 million purchase. 8,500, - this is per acre, per hectares sorry, not millions. This is per hectares, this is a mistake. We paid an initial BRL11 million of payment. And what it has - this for us very good, it is not only buying the land, we are leasing a big portion of land 5,700 hectares adjacent. So, here you see the graph, this is the part that is not developed and the adjacent has to be developed. The two and the developed, they gave us the rental for many years plus they gave us like a fixed payment, like a call - this is an option for us to buy. So we like very much, because the day we are going to sell is not going to be sell only our developed piece. It will be a combination of our piece plus the rented with the option that they gave us for 12-years. So the combination of the two makes so attractive business to do in the region of PIAUÍ. If we move to next page, we can see the evolution of the year that we are finishing. Next quarter we are finishing the campaign. This is our historical record of planting area. We grew 9% year-to-year to 271,000 hectares combining the four countries, Argentina, Brazil, the two main Bolivia and Paraguay. Breakdown of soybean being the major, second the corn and very relevant the sugarcane and this is the - we are running the whole region 885,000 hectares between the two players Cresud and Brasilagro. The third. This year, we did, they were only in Brazil. A lot of liquidity, Brazil is closing a very good year devaluation helping a lot to the normal farmers, they know to the farmers not catching their crop. They found the real went from four to 570. Today we have seen some reduction of devaluation, but still good yields, good price, good devaluations make them a lot of gains, and the Brazilians are very active in the real estate arena. We see up to the third quarter only $11 million between the small sale, but sales that show more than 10 times the book value. This is the kind of gains we are seeing. We are finding - selling small to the retail financing making huge gains 11 million book value of one. So this is kind of what we dream at the beginning of Brasilagro to buy huge pieces, to sell finance and make the money and buy again. So we are showing a lot of the real estate evolution on a year in Brazil, not in the rest. We want to have the rest. We are trying, but we are thinking that Brasilagro is going to find more because the liquidity of that market this year. So if we move to next page, we are going to begin the explanation of Carlos Blousson our manager for Argentina, Bolivia, who will explain some details about the commodities price of the market.
Carlos Blousson: Good evening everybody, thank you, Alejandro we will continue with the presentation. Just moving to Slide 7, about farming, commodity prices and lowest stocks. You can see in the graph, the prices keep the low trends. The reason are the following to considering the supply and demand. Considering the supply, the producing of the crops in South America performance very well in general. There is an increment in the global stocks. Let us now overlook, the fact that the stocks in United States, especially in soybeans are still high because of the delay in export into the tardiness in agreement with China, regarding the demand, despite the agreement phase one has been signed between the United States and China generally export continues to be delayed due to the impact of the global Coronavirus outbreak in the last three months, as a consequence of the logistic issues. Regarding soybean stock consumption ratio, we can see in the graph, a decrease is relive. This happen between - that the demand over counts the offer. Talking about corn, we see that the corn consumption ratio, the - ratio increase, especially in United States. They are waiting for a great record campaign this year. And then the state is expecting production to achieve the record of 300 to four - 40 million tons. These matches with the low in the use of corn for ethanol productions affected by the decrease of the oil prices in the world because of the pandemic. We appreciate that the soybean prices in Brazil were more competitive that in the United States and Argentina, the reason being the delay in the agreement for the state and China and the Brazil’s national currency down grade. finally about the original heads campaign, the quarter kits level is 78% is soybean in the overall the budget prices. In case of corn where the level is 89%. Meaning a 4% over the budget in the soybean and 2% in the corn. It is clear that this hard hits happened because we will dissipate to our [indiscernible] foreseen that the market was going down, especially in 2019. Let’s go to the next slide. Slide 8. Good farming prospect for 2020 campaign. As you can see in the top of the graphic, the evolution of the world in South America was normal. As said, from the Norwest are in Argentina and [Bolivia] (Ph) suffered a heavy drought during the definition of the year. Related to this chain, the evolution you can see that evolution grade has increased in the last three months, we can see 30% increase in Brazil and 8% in Argentina along with an improvement in the competitivity in the export sector. The harvest progress is a soybean 97% and in corn 26%. We are harvesting corn in Brazil and Argentina in the coming month. Let’s move to the next page. It is about the Covid-19 Agribusiness Working As Essential Activity protocols used by Cresud and its farms. And that is the description of all the protocols. The one is the security and hygiene protocol, farms access control, suspension of farms visits, reduced transport use and the last one is changes in the way of working. Teleworking was implemented in different positions and functions. Let’s move to the next page. Good Farming Prospects For 2020 Campaign. As you can see in the graph, the crop production is expected to increase by 1.3% year-to-year achieving a record in the productions to add 833,000 of grain. Suspected growth yields are stable in 6.2 tons per hectare in corn and 2.7 tons per hectare in soybean. Breakdown of sugarcane productions, the growing trend continues and we expect a record of 20,373,000 million of tons in 2020. Finally, the meat production remain stable in 8.7000 tons despite of sale low in cattle stocks. In Argentina after the end of March, 28% of the livestock was sold taking advantage of the good market growth. Thank you Matias we conclude.
Matias Gaivironsky: Good afternoon everybody and then when we move to the investment in IRSA, we see different results. The COVID situation will impact the company after March 20. So when we see as of through March 31, the impact was limited after that the impact will be much more important since the operations are in lockdown since March 20. So up to March 31, the stock of shopping malls remains stable, the occupancy remain stable as well. And the tenant sales already included 10-day, 15-days the operation was affected and generated a decline of 12.9% against inflation. But when we see these number, before the COVID impact, that number was positive. We had some positive news, recently we opened one of our malls in Salta, another one in Mendoza. There was administrative regulation in Santa Fe two days ago about the opening there. So, we expect to open also in Santa Fe soon. In the offices, as of March 31, there was an increase in the stock and we are working to finish the development of a new building in the Catalina area, the occupancy was slightly down to 93.9%, but nothing important. Rent remain stable. We have normal operations after the COVID, so the collections are okay, our buildings are under operation, although most or some of the companies are doing home office, the offices remain open and they are operations. As I mentioned the Della Paolera 200 buildings that we are developing, we have to stop the development because of the virus, but we almost finished, the project is under 95% progress. So we need around 60-days more to finish the building and we expect the development will really open to finish soon. There was a good progress of commercialization with 61.5% of the agreements already leased, that is a very good news. In the hotel segment, then there is no major news up to March. The occupancy went a little down because of two reasons. One was the reflag of one of our hotels that used to be at Sheraton now is our own brand and also the some days of March, the operations were affected by the virus. So going to the next page, Alejandro will keep going.
Alejandro Elsztain: About the Israel Business Center, we can see very short summary about what each company is spending these days of coronavirus. We can see on the real estate PBC, GAVYAM and ISPRO. These are the real estate of the group. And their normal operation in office and logistic segments these zero effect. And in the case of the malls, almost half of the tenants are essential. The rest 50 some percent is not essential, has a very short time of closing, but reopen all. And so the effect on the rent retail on Israel is much smaller than in Argentina case. Case of Shufersal, Shufersal is one of probably the winners of the coronavirus time, because these having 358 stores in Israel, supermarkets and pharmacies, the two remember that we have be at its pharmacy too, the two our winners, a lot of sales increasing a lot the online sales 14% of the total sales are online, own brand 25% of total sales. And the record sales of the time and the trend expect to remain in the second quarter. Mehadrin the fruit story citrics and avocado and dates. Again this is almost normal, didn’t affect so much. We are able to tap peak and to send to Europe with higher prices. This year was lower level, supply was at low level, there are years of on and off, it was off year less volumes, but very good prices, so not very affected for the coronavirus. Cellcom the cellular company of telecommunications. This was moderated decreasing the revenues because of the roaming, decrease of the roaming and the sale of the devices. And reduction of labor costs and suspensions and marketing expenses, came in new CEO so the company had made a lot of cuts. So he is restructuring that the cost of the company. In case of ELRON, investment in early stage companies and specialized in medical devices, cyber security and information technology. Here there is not a lot of impact. This is a company that is researching and launching companies. So these was to give you a flavor of the effect on Israel business centers. So if we move to next page. We can begin the speak about the financial results and Matias will explain.
Matias Gaivironsky: Thank you, Alejandro. So we can move to Page 14, we see our nine-month period financial statements. We finish the period with a loss of 7.4 billion pesos when we compare with the previous year that was 14.5 billion pesos. Attributable to our controlling interest, the result is almost the same 10.2 billion pesos against 10.1 billion pesos. So if we see the main components of this result, so starting with the operating income, we see very good results in the agriculture segment. So 4.4 billion pesos against 1.7 billion pesos, I will enter into more detail in the next page. In Argentina business center, the level of the operation - the operating income was also very good 7.2 billion pesos, against 3.2 billion pesos of loss last year, this is mainly attributable to the change in the fair value. When we see last year, we wrote down a significant impairment in our investment properties generated 8.8 billion pesos, and this year, we have a gain of 2.2 billion pesos. Then in the Israeli business segment and the level of the operation, also we have a loss of 377 against that gain of 2.4 is also attributable to the change in the fair value, when you see the change in the fair value this year, we have 2.6 billion pesos against a gain of 386. This is related to our HSBC building in Manhattan. So the other important difference that we have in this nine-month period is in the line 13 net financial results that I will explain in the following page. Sorry, finally, the other important effect is in the line 16, the net income from this continuing operations that this year we market very important gain for the consolidation of Gabion a subsidiary of PVC in Israel that we sold shares of the company, since we don’t have a, they control, we don’t longer control the company. Now we have to value the operations at equity matter and not longer on a consolidated basis. So entering to more detail in the operations. When we see the adjusted EBITDA by segment, as a management we have very good results in the business in general, all the line we have brought is in the farmland sales. And this is because we sold more - up to March we sold more last year than the previous year, but as Alejandro mentioned we have a very good deals in that line as well. So we are very happy with the performance. In the farming we have good results in grain, 49% above last year, here we have a combination of different factors that are - at the beginning of the period we had a significant stock when compared with the previous year, and more important stock with good prices, also a good advance in the campaign of this year, compared with the previous year. For the time of the year now - we closed our campaigning in June. So in June, we will have the final results. In sugarcane, also better performance, better prices. So compared with the previous year, we are better. Cattle as well, we have better prices, so all the lines are generating good profits in agriculture, in the other segment, also the meat packing facility and operations of [indiscernible] generate good results. In the urban segment, the Argentina business segment in the shopping malls. We see, drop in the adjusted EBITDA against inflation 16.6%. So this is before the impact only with limited impact of the virus situation. So probably definitely the next quarter will be worse than this quarter. In the offices we were able to, to maintain or increase the levels of the previous year. Now we have a new building under operations and the contracts are in dollars so we have good results. The hotels, we see a decrease, as I mentioned, that is related to the de-flag in one of our hotels that generate lower revenues. And also last year, we have a collection of an insurance that is incorporated in the 2019 numbers. In Israel the real estate segment performed better when, we see the real devaluation between the shekel and the pesos is 13%. So to compare the previous year with this year, we need to incorporate this 13% as a reference of the devaluation. So about 13% is in increasing shekels terms. So we have better results in real estate. This is more related to costs than revenues here we as I mention, we don’t consolidate any more Gallium. So it is only related to the operations in PBC. And since now - sorry it is only PBC operations. In telecommunications in revenues probably we have a slight drop, but in with big chunk this is more related to the implementation of IFRS-16. So we don’t recognize anymore costs of the leases of the infrastructure. So this is why they line increased so much. The other important effect is in the next page, Page 16. There is a consolidated net financial results. So here we have different effects. One is in the IDB plus DIC or Israel segment that we have the drop in the CLAL shares, the insurance company that last year the decline was 3% and this year was 51%. Although we have less shares now have CLAL, the drop was significant and we are recognizing a big loss from 1.9 billion to 9.2 billion pesos. And the other important effect of the evaluation of, in Argentina of the peso, last year the devaluation was 50.8 but the real effects was or the real devaluation was 23.3 against 26 this year, that affects the line of net - exchange differences. Also, the net interest loss is higher because of the devaluation and also our cost of the new lines that we took during the year were more expensive than the previous year because of the volatility of Argentina. And finally, regarding our debt structure, there was a subsequent event. On June 9th, we issued a new series of debt. This is last week we issued $83 million of annual bond at a very competitive cost 3.5% fixed with maturity in December 2021. So with this issuance, we were able to increase our liquidity and have much more flexibility for the incoming amortization of our debt. So we are with good liquidity to freight the amortization. So with this we finish the formal presentation. Now we will open the line to receive your question.
Operator: No questions. Well we conclude our Q&A session. I will now turn the call back to Mr. Alejandro Elsztain for any final remarks.
Alejandro Elsztain: Just to finalize, we are finishing next quarter the annual balance sheet. In the agriculture, we are going to finish our harvest still tending to core. And the beginning of the sugarcane in the case of the sugarcane in the region being essential and not affected so the thing that it is affecting for the next campaign property is taxes and exports that last year didn’t affect us very much. But it is going to affect a little more in the next campaign because the whole year are implemented. And related to the real estate, we expect to keep that buying and selling more firms, buying the bigger pieces and selling smaller pieces. So we expect to see that next quarters doing this the same. Related to urban, the Northern Hemisphere opened, the Southern Hemisphere is beginning to open, we hope soon at steals majority closed, we saw only to shopping, later will come the hotels and exhibition centers. So that delay is going to punish probably the next quarter. But we see when they open consumption comes and the rental comes again. We are seeing that in some of our properties in the Northern Hemisphere. We keep constructing, keep building, so the company is doing its job. So just to thank you next quarter we are finalizing the annual report. And we see you there. Thank you very much and I hope next time to be all of us closer without the pandemic on the region. Thank you very, very much.
Operator: Goodbye.